Operator: Welcome to the Wynn Resorts Third Quarter 2023 Earnings Call. All participants are in a listen-only mode until the question-and-answer session of today's conference. [Operator Instructions] This call is being recorded. If you have any objections you may disconnect at this time. I will now turn the line over to Julie Cameron-Doe, Chief Financial Officer. Please go ahead.
Julie Cameron-Doe: Thank you, operator, and good afternoon, everyone. On the call with me today are Craig Billings, Brian Gullbrants and Steve Weitman in Las Vegas. Also on the line are Linda Chen, Frederic Luvisutto and Jenny Holaday. I want to remind you that we may make forward-looking statements under safe harbor federal securities laws, and those segments may or may not come true. I will now turn the call over to Craig Billings.
Craig Billings: Thanks, Julie. Afternoon, everyone, and as always, thank you for joining us today. I'll start here in Vegas. Wynn Las Vegas delivered $220 million of adjusted property EBITDA, up 12% on an incredibly difficult year-over-year comp. Yes, it was aided by high hold, but it was also despite the fact that we accrued during the quarter for the estimated increases associated with the new agreement with The Culinary Union. I got to tell you activity at the property was frenetic during the quarter with hotel occupancy, restaurant covers, casino visitation, table drop and slot handle all up over what was a very strong third quarter of 2022. As a result of all that activity, we produced third quarter records in gross gaming revenue, food and beverage revenue, and hotel revenue with 10% year-over-year growth in RevPAR. We continue to be at the top of our game here in Las Vegas and I'm incredibly proud of the team who continue to deliver to our exacting standards, even in the midst of significant customer volumes. Our top line trends remained strong through October with healthy GGR and strong year-over-year RevPAR growth during the month. Looking ahead, we have a strong pipeline of forward group demand, very healthy gaming market share, and a robust programing calendar with F1 and Super Bowl just ahead of us. And while it's certainly is an increasingly complex world out there between inflation, rates, geopolitics, things continue to feel pretty good around here. Turning to Boston Encore generated $60 million of EBITDAR during the quarter. Business the property was largely stable year-on year, with revenue and EBITDA down about 1%. So there were some meaningful pockets of strength, including all-time property records for slot handle and hotel revenue. More recently, we were encouraged by the acceleration in the business we experienced during October with month-over month growth in slot handle and table drop and strong RevPAR growth year-over-year. We will continue to closely monitor the ongoing Sumner Tunnel construction, which is expected to continue in fits and starts over the next 12 months along with the general macroeconomic uncertainty that seems to have been impacting some of the regional gaming operators. On the development across the street from Encore Boston Harbor, we have been asked by a state environmental agency to provide yet another round of analysis and documentation delaying our construction by approximately three months. We will continue to update you on this project, which will add meaningful amenities and EBITDA to Encore Boston Harbor. Turning to Macau, we generated $255 million of EBITDA in the quarter, which was 85% of our pre-COVID levels. Hold was mixed in the quarter, as we held high in our VIP business, which was more than offset by low hold-on the mass table side. With mass now comprising the vast majority of our business, we are going to start normalizing for both VIP and Mass. To that end, we estimate fully normalized EBITDA in the quarter was $266 million or 87% of third-quarter of 2019 levels. Encouragingly, mass hold returned to the expected range at both properties in October. During the quarter, we saw broad-based strength across our properties with several key areas of the business trending well-above 2019 levels. In the casino mass table drop increased 19% versus Q3 2019 and direct VIP turnover was 13% above Q3 2019. On the non-gaming side, our retail business continues to be incredibly strong with tenant retail sales up 24% on Q3 2019, and hotel revenue up 20% relative to the third quarter of 2019. Quality of our product and service, our relaunched Wynn Rewards Loyalty program and our very robust non-gaming events calendar all helped drive GGR market-share in the quarter that was consistent with second quarter and in line with our share as we exited 2019. The strength in our business has continued in Q4 with mass drop-in October 24% above October 2019, 98% hotel occupancy, and healthy tenant retail sales. On the development front in Macau, we expect our first concession related capital project, a collaboration with the team behind Las Vegas based Illuminarium on a mesmerizing, multimedia exhibit space to open before the end-of-the year. We're also deep into design and planning for our other concession related CapEx commitments including our destination food hall, the new event and entertainment center and a unique spectacle show. Lastly, construction continues on Wynn Al Marjan Island. Our planned integrated resort in the UAE. Much of the hotel tower foundation is complete, with nearly all of the piles supporting the 1,500 room tower in the ground. On the back of several recent regulatory developments in the UAE, I've noticed increased chatter about the opportunities there. So. I want to take a moment and give you our perspective. We believe it's highly unlikely that every Emirate will ultimately avail themselves of the right to host an integrated resort. There's a whole bunch of reasons for this, ranging from cultural nuances to population density to varying degrees of need for the additional visitation. Our view is that it will likely be us and us alone for a multi-year period given that we are well underway on construction now. And of course, we all know the advantages of being first as we have seen in other markets. After that, it may be a duopoly or an oligopoly of three. But I find either ultimate market structure undaunting given the database advantages of being first and the fact that we've very successfully operate in the two most competitive markets in the world. Vegas and Macau. As I've said before, this is the most exciting new market opening in decades. With that, I'll now turn it over to Julie to run through some additional details on the quarter.
Julie Cameron-Doe: Thank you, Craig. At Wynn Las Vegas, we generated $219.7 million in adjusted property EBITDA and $619 million of operating revenue during the quarter, delivering an EBITDA margin of 35.5%. Higher than normal hold benefited EBITDA by around $12 million in Q3 and hold normalized adjusted property EBITDA was up slightly year-over-year. The strength in the quarter was broad-based across the business. Hotel revenue increased 10% year-over-year, to $178.5 million, a new third quarter record on the back of a 9% increase in ADR and 120 basis point increase in occupancy. Our other non-gaming businesses was strong across food and beverage, entertainment, and retail all-up nicely year-on year. In the casino, GGR increased around 22% year-over-year, driven by a 7.6% year-over-year increase, in slot handle a 6.5% increase in table drop, along with higher table games hold. OpEx excluding gaming tax per day was $4.1 million in Q3 2023, up 14% year-over-year due to variable costs associated with revenue increases, roughly $10 million of non-recurring items and certain structural changes, including an accrual for the anticipated increases associated with the new union contract, our annual cost of living adjustments for non-Union employees and the launch of our production show. Turning to Boston. We generated adjusted property EBITDA of $60.5 million on revenue of $210.4 million both down around 1% year-on year. EBITDA margin was 28.8%, broadly in line with Q3 2022. As Craig noted business was largely stable year-on year. In the casino, we generated $182.6 million of GGR down 1% year-on year as record slot handle was offset by lower table games volume. Our non-gaming revenue was flat year-over-year at $54.4 million with record hotel revenue offset by lower food and beverage revenues. As noted on our prior call, and as Craig mentioned earlier, business volumes at the property were impacted by the Sumner Tunnel Restoration Project, which is expected to continue intermittently over the next 12 months or so. While the tunnel construction is out of our control, we have stayed very disciplined on the cost side with OpEx excluding gaming tax of approximately $1.13 million per day in Q3 2023, down 0.5% year-over-year and down around 2% sequentially. The team has done a great job mitigating union related payroll increases with cost efficiencies in areas of the business that do not impact the guest experience. Our Macau operations delivered adjusted property EBITDA of $255 million in the quarter on $819.8 million of operating revenue. We estimate lower-than-normal hold negatively impacted EBITDA by around $11 million during the quarter with higher-than-normal hold at Wynn Palace, more than offset by lower-than-normal hold at Wynn Macau. We felt particular strength in mass casino drop, direct VIP turnover luxury retail sales and hotel revenue all above Q3 2019 levels. EBITDAR margin was 31.1% in the quarter, an increase of 300 basis points relative to Q3 2019 with Wynn Palace margin reaching 33.7%, while 660 basis points above Q3 2019 levels. Our concession-related non-gaming programing have accelerated over the past few months with the FIBA 3x3 basketball tournament, the Da Vinci Immersive art exhibition, the Hypercar exhibition, some DJ events, and several other well-received concerts and culinary events. EBITDA margin strength was driven by a combination of the favorable -- with favorable mix-shift to higher-margin mass gaming and operating leverage on cost efficiencies. Our OpEx excluding gaming tax was approximately $2.4 million per day in Q3, a decrease of 20% compared to $3 million in Q3 2019. The team has done a great job remaining disciplined on costs and we are well positioned to continue to drive strong operating leverage as the business recovers over-time. In terms of CapEx, we're currently advancing through the design and planning stages on our concession commitments. And as we noted the past few quarters, these projects require a number of government approvals, creating a wide range of potential CapEx in the very near term. As such, we expect CapEx-related to our concession commitments to range between $300 million and $400 million in total between Q4 2023 and the end of 2024. Turning to Wynn Interactive, you will recall we announced in August that we decided to rationalize the business to primarily focus on Massachusetts and Nevada, where we have a physical presence. As a result, our EBITDA burn rate decreased substantially, both sequentially and year-over-year to $4.9 million in Q3 2023. Moving on to the balance sheet, our liquidity position remains very strong with global cash and revolver availability of approximately $4.3 billion as of September 30th. This was comprised of $1.8 billion of total cash and available liquidity in Macau and $2.5 billion in the U.S. Importantly, the combination of strong performance in each of our markets globally with our properties run rating over $2.1 billion of annualized property EBITDA together with our robust cash and liquidity, creates a very healthy leverage and free cash flow profile for the company globally. To that end, we repurchased $400 million of our 2025 Wynn Las Vegas senior notes at a discount to par during the quarter. Further, the board approved a cash dividend of $0.25 per share payable on November 30 to stockholders of record as of November 20, 2023. We also repurchased approximately 597,000 shares for $56.2 million during the quarter, highlighting our commitment to prudently returning capital to shareholders. Finally, our CapEx in the quarter with $114 million, primarily related to the spa villa renovations and food and beverage enhancements at Wynn Las Vegas, concession related CapEx in Macau, and normal-course maintenance across the business. With that we will now open up the call to Q&A.
Operator: [Operator Instructions] And our first question comes from Carlo Santarelli with Deutsche Bank. You may go ahead.
Carlo Santarelli: Hi, Craig. Julie, everyone. Thank you for taking my question. Craig, the market in the 3Q. Was that about annualized about $24.5 billion, which is about 8% kind of below the midpoint of that range you spoke to earlier in the year, I believe what was on the first quarter call. It looks like just annualizing 3Q results and not adjusting for hold you're about halfway there at the Macau property and basically there at 2019 levels give or take a couple of million bucks at the at the Cotai property. Based on what you've seen over the last kind of six months since that call, the way the markets evolve from several perspectives. Does that kind of benchmark for market GGR still hold true with kind of how you're thinking about getting back to those 2019 levels in totality.
Craig Billings: Thanks, Carlo. Yes, Your observation on Wynn Palace is right. I mentioned earlier in the year. You're right, it was with the Q1 call that Wynn Palace would get back to 2019 levels. First. And if you as you said, if you annualize what we did in 3Q, it's in that in that same zone. I think Wynn Palace did normalized in 2019, something like $675 million. So when it comes to Wynn Palace, we can check the box. We've done it. In October, when the market was run rating over $28 billion, obviously, we had Golden Week, Wynn Palace normalized EBITDA per day exceeded October 2019 as you would expect. Wynn Macau, which had healthy results but lower market share in October versus 2019 for many other reasons that we've talked about on previous calls, did not exceed its October 2019 EBITDA. So it's lagging our prediction a tad. And we need to see market share stability and growth at Wynn Macau to get back to 2019 levels. The last point I would make is that our concession related non-gaming programing has picked-up. Honestly, quite a bit faster than I had anticipated earlier in the year. As Julie talked about in her prepared remarks, we've been doing some pretty amazing programing and it's generated a bit of extra OpEx that is in fact a slight headwind. Of course, in these early days we're figuring out what programing is EBITDA-positive, what's not, et cetera and we'll drop that program and that ultimately isn't. But that extra OpEx probably pushes the full EBITDA recovery at Wynn Macau back a bit, but speaks to the strength of Wynn Palace because even with that incremental OpEx, we've hit that target that talked about. At the end-of-the day, I guess, what I look at is, we've proven that we can hold share without junkets, that we have structurally better margins. And then, our business is pretty well-positioned for growth in Macau as the market continues to come back. So I feel pretty good about where we are.
Carlo Santarelli: Great, that's helpful. And then if I could, just one follow-up. Obviously, a lot has been made in recent earnings around reinvestment within the Macau gaming arena. It's always hard to tell when looking at kind of the public filings and releases and whatnot, it doesn't look like there was anything sizable in this quarter in terms of reinvestment, the direction of reinvestment one-way or another. Could you comment a little bit about kind of how you guys see that data relative to 2019, maybe how you see it now and how you see a trending.
Craig Billings: Yes. I think your analysis, what you just said is correct. I mean, reinvestment in that market can bounce around for us anyway. I can't really speak to the rest of the market, but it can bounce around 50 basis points, 60 basis points, 70 basis points in any given point in time, but I haven't seen anything that is irrational or substantive.
Carlo Santarelli: Great, thank you very much.
Operator: Thank you. And our next caller is Joe Greff with JPMorgan.
Joe Greff: Good afternoon, guys. Just going back to your earlier comments. Craig, on October in Macau, the two properties in the aggregate. How close are they at October 2019 EBITDA levels in the aggregate. Obviously, Wynn Palace ahead Wynn Macau as you mentioned it.
Craig Billings: Yes I would say that they are lagging slightly behind our view. Nothing -- our earlier view again view. Again, nothing, you know, nothing tragic. But the strength at Wynn Palace inclusive of the programing costs that I mentioned and the impact of that. And the work we still have to do at Wynn Macau, you know, those are the dynamics of the two properties now. And I would say that it was slightly below but again we're within line-of-sight at this point and I just not all that worried about it.
Joe Greff: Great. And then my follow-up question relates to Wynn Al Marjan, Craig what are the next steps and the timing for the next steps there, including the issuance of a license.
Craig Billings: Sure. The regulations are in draft form the regulations, we expect the regulations will be passed. And then what we expect that the licensing process is a two-step process. The issuance of a provisional license. And then a final license, and I would expect that that would happen soon. So it's go, it's happening. The process is moving along. You've seen that they've appointed leadership for the regulatory body there. And I think, by the way, I think that's really good for the market because it lends a lot of certainty eliminates a lot of questions that we used to get, and it creates a lot of certainty for financing sources, which allows us to move forward with the construction financing relatively quickly.
Joe Greff: Thank you.
Craig Billings: Sure.
Operator: Thank you. And our next caller is Shaun Kelley with Bank of America.
Shaun Kelley: Hi, good afternoon, everyone. I was hoping you could comment a little bit about the just the high-end play in Las Vegas. It seems like we definitely starting to see material rebound there and kind of can you just talk a little bit about behavior that you're seeing maybe a level of recovery. And just kind of some of the dynamics there would be helpful.
Craig Billings: Sure, I'll start and then I'll see if Brian has anything to add. I mean, that's really kind of our business. So I can't say that that we've seen anything materially different this quarter than we've seen in the past few quarters. The numbers, I mean you can look at the revenue numbers, the revenue numbers are incredibly strong. And so. we're pretty proud of what we've been able to deliver over the course of the past year. High-end international play remains a little bit of a mixed bag as it has over the course of really since the reopening from COVID. But I feel great about where our database is. We always skew towards the high-end. Brian, would you add anything to that.
Brian Gullbrants: Yes, our team is continuing to do a great job. I think we're still continuing to steal share. We continue to expand the hosting team and everything is real positive as we look-forward.
Shaun Kelley: Just as a quick follow-up. Any OpEx still and I think this was maybe in Julie's remarks. I heard something about maybe a $10 million impact in Las Vegas. I was wondering if I caught that correctly, if you could elaborate a little bit on what they may have been.
Julie Cameron-Doe: Sure, yes. I mean, I mentioned that there were a number of factors impacting OpEx, which did increase to $4.1 million in the quarter. There were a number of one-off items added up to about $10 million in the quarter that we wanted to call-out that will be non-recurring. But in addition to that, of course, as Craig mentioned, and I added to, we did accrue for the anticipated union outcome. We also, you know, we took in Akola increased cost of living allowance increase for our non-Union employees effective 1st of July. We had the, you know, the launch of a awakening the relaunch of awakening in the program, which we're just starting to ramp in the quarter as well. And so, you know, the combination of those factors will drove up the operating expense. And yes, I can confirm, it was a $10 million onetime non-recurring item.
Craig Billings: And it was a mixed bag of stuff, Shaun.
Shaun Kelley: Perfect, thank you so much.
Craig Billings: You got it.
Operator: Thank you. Our next caller is Dan Politzer with Wells Fargo. You may go ahead sir.
Dan Politzer: Hi, good afternoon, everyone. Thanks for taking my questions. First one, just wanted to touch on the promotional environment in Macau, some of your competitors have made comment that they are being more aggressive. So I just wanted to check, check with you there, and I know, you know, the contra-revenue has picked-up a little bit in the quarter. I think that's mostly in Wynn Macau, but just anything to kind of call-out there in terms of the environment at your properties.
Craig Billings: No. A colleague of yours has had a similar question just a couple of minutes ago. Nothing to call-out on the reinvestment side, as I said. To him, you know, Our reinvestment can bounce around 50 basis points, 60 basis points, 70 basis points at any given point in time from time-to-time, but nothing that looks -- we don't see anything that looks irrational or of course concrete trend. In terms of the mix of what is contra-revenue versus running through OpEx, you may recall that we relaunched our loyalty program earlier this year. The structure of that program allows for a lot more flexibility for the customer in terms of what it is they are choosing to be rewarded with and that can cause shifts in movements of a $1 of reinvestment between contra revenue or between OpEx but it's the same dollar. So it's really not any indication of an increase in reinvestment per se. It's really just geography, on the income statement.
Dan Politzer: Okay, so just some accounting nuance, okay. And then just moving to Las Vegas, you know, obviously, F1 is right around the corner. It seems like this is an event that skews more to the high-end. And that's right in your wheelhouse. Is there any way to think about, you know, the EBITDA uplift given some of your competitors have thrown out this kind of mid-single-digit type EBITDA lift.
Craig Billings: Yes, we won't. Well, I'll tell you this. I've heard on a couple of our competitors calls commentary around expectations coming down within the market. I will tell you that our expectations for F1 haven't changed one bit, because as you rightly pointed out, we knew that it was our customer-base that would be at that event from the beginning. We have more front money and credit lined-up for this event than any event in the history of Wynn Las Vegas. And we've had some doozy before. So this is shaping up to be a great event for us. We're incredibly excited, we're not talking about EBITDA uplift. But it's going to be good. Brian, what would add?
Brian Gullbrants: Sure, I'd say F1 is really come in nicely right now for all areas of our business. We should exceed actually our all-time hotel revenue as well. Our hotel revenue record by about 50% for the three day period. And as Craig mentioned, the gaming revenue and credits, looking quite promising. Some of the best we've ever seen. So I think, we're looking-forward to an exciting and exceptional race week here at Wynn.
Craig Billings: We barely even put any rooms on public sale. I mean, we had -- we've had robust demand.
Dan Politzer: Understood. Thanks so much.
Craig Billings: Sure.
Operator: Thank you. And our next caller is Brandt Montour with Barclays. You may go ahead sir.
Brandt Montour: Good evening, everybody. Thanks for taking my question. So back to Macau, and we talked about this on prior calls, Craig, about the Peninsula. There was some disruption earlier in the year that I think tailed off into the early part of this quarter. But maybe you could just remind us the game plan of how you're going to get more recovery at that property. Any update there would be helpful.
Craig Billings: Yes, sure, you're right. Disruption did tail-off at the in the early portion of this quarter. There were some trailing works, including some work that was done in some of the high-end salon areas that took a little bit longer, but in the main, your statement is correct. And now, it's really the hand-to-hand combat of gaining market-share. I mean, we've done this -- we've done this before, you know, Wynn Palace opened, we were not nearly as experienced to some of our competitors in mass marketing. We got experienced very fast. And you can see obviously the results of that at Palace. And so it's really kind of every lever that you have to pull. Right. It comes down to the hosting team, it comes down to food and beverage, it comes down to some entities that you're offering. It's everything. And so, I can't tell you that there is one silver bullet. It really doing at 1 basis point at a time and that's where we're focused now.
Brandt Montour: That's super helpful. And then another question. Macau, the OpEx consideration from the concession commitments, it's probably too early to quantify what that is for next year. But maybe you could give us a little bit of flavor for, if it's going to be how the mix will sort of skew between Peninsula and Cotai and sort of how it might and how it might the cadence might step-up throughout the year?
Julie Cameron-Doe: Sure maybe I'll start with maybe Craig can add if I miss anything. I'll just talk sort of more broadly for our whole Macau business. Sequentially, you’ll have seen that the OIBDA margin decreased around 90 basis points. About half of that was due to lower hold. But there was an additional $6 million of OpEx sequentially due to bad debt swing, because we could have a credit in Q2. You know, and then as I mentioned in my prepared remarks, I think I gave you a pretty detailed list of all the non-gaming programing that we've really accelerated and started doing in the last few months with the FIBA tournament, that Davinci exhibition, the Hypercar exhibition, some DJ events and concerts and culinary events. So when you adjust for that noise, the margin improvement thing is clearly operating leverage because we held share and we were prudent with OpEx. So you know, if we think about going-forward, we're expecting margin at Palace to generally stay-in the current range, and margin at Wynn Macau to improve as business volumes come back. So there will be quarter-to-quarter variations in our events calendar as we continue to rollout programming associated with our concession commitments.
Craig Billings: And it's too, it's really too early to say. Honestly, I didn't, when I think about everything we've done this year, and the list is extensive. I actually didn't expect it to pick-up this quickly. The team has gotten incredibly creative and incredibly resourceful in terms of what they've done. And keep in mind. We do not yet have certain tools that our competitors have like an arena or an event center. Now that's part of our plan. From a CapEx perspective. And part of our CapEx, concession commitments. And so we'll catch-up in due course. But it's really too early to say what the seasonal cadence will be because some can be done only outside of typhoon season, others can be done, year round. And it's also a little too early to say what the split will be between properties. I don't think it changes the investment thesis much. I mean you're talking about a few million dollars here and there, but it's important in terms of fulfilling our concession commitments. And honestly, it's important. If you do it right. It's important in terms of building a brand into that region, similar to what we've done in Vegas, frankly with all the program that we've done here, it's important for building your brands. And for casino marketing.
Brandt Montour: Helpful comments. Thanks all.
Craig Billings: Sure.
Julie Cameron-Doe: Thanks all.
Craig Billings: Sure.
Operator: Thank you. And our next caller is Robin Farley with UBS.
Robin Farley: Great, thanks. Two questions, one is and I don't know if this may not be a key in your view to the Peninsula property recovering. But I'm curious if you have a view on the kind of the grind mass visitor coming back to Macau or, you know, what it will take for that customer to recover to 2019 levels, if you see it as a transportation bottleneck issue or kind of macro factors in Mainland China or. I guess, just would love to get your take on that.
Craig Billings: Sure, Robin. I think it's a little bit all-of-the-above. You're correct in that downtown is much more skewed towards transient customers. Towards a more base mass to use the term customer. And we benefit when visitation -- we benefit there disproportionately visitation to Macau is high. And so as visitation to the market returns, which inevitably, I believe it will, we will benefit from that. Of course, we don't want to -- and that's due to any number of factors, many of which you've described. Of course, we don't want to wait for that. Right. So in the meantime, we need to be very-very focused on market share and driving operating leverage by gaining market share. But no doubt as that transient customer comes back, downtown We'll benefit disproportionately to Palace, which is already doing extremely well.
Robin Farley: Thank you. And then just the other question is, just wondering why you're adjusting for hold in the mass business in Macau, you haven't done it historically other operators like it's typically sort of not done. So just why the change in thought and why that would be something to start adjusting for. Thanks.
Craig Billings: Sure, others not doing it has never been a reason for us to consider. We have no problem being the first ore being a little bit of an outlier. It's really because of the mix of our business now. I mean, we are disproportionately mass now. So what we're trying to do is give a clearer view of how the assets are performing by providing a normalized number. Frankly, the same way we do in Vegas.
Robin Farley: Okay, great, thank you.
Craig Billings: Sure.
Operator: Thank you. Our next caller is Stephen Grambling with Morgan Stanley. You may go-ahead.
Stephen Grambling: Thanks. So you referenced accruing for the union contract in Vegas in the quarter. And I'm sure, you still have an impact in the fourth-quarter. But as we look-forward to 2024, how are you thinking about the major puts and takes to margins and whether you can hold margins and data similar to what you were just kind of outlining in Macau. Obviously, different considerations here.
Craig Billings: Sure. Well, first, it is important note before I get to the crux of your question. Normalized margin historically comprises from Q2 to Q3. You can go back and see that and it's really due to the customer mix during the summer months. To your primary question. as we've said before, we really view margin as an outcome of aggressively driving revenues and diligently managing costs and outcome, not a target. So we don't forecast margin per se. On the revenue side. I think our results in Q3, speak for themselves and we will continue to make sure that we have the best offering in Vegas. On the cost side. Julie mentioned a whole bunch of factors affecting Q3 in her prepared remarks. And with respect to the labor cost increases that you referenced, we are of course looking at ways to offset some of them. And as I've said before, because of COVID, we have a playbook for every scenario out there and we know-how to run the business as efficiently as possible at any given revenue. But as always, we will focus on our service levels in our brand. And so if demand continues to be as strong as it is right now will we trim solely to claw-back. I don't have a point of margin. For example, yet damage the brand now, but if the demand picture or a pricing power changes. We will of course manage OpEx accordingly in a manner that is best for the long-ter.
Stephen Grambling: Fair enough. And then one follow-up on the top line. How should we think about Super Bowl versus Formula 1 for you, do you generally think that this will be a different customer base. The same customer base. I guess what are you seeing as you get closer to Formula 1 and start to see bookings, I imagine for capable at least interest.
Craig Billings: I guess it at a headline level, and then I'll turn it over to Brian. Think about it as international individuals and domestic group, but Brian, would you add anything to that.
Brian Gullbrants: No, I agree with you, Craig. I think on the casino side, we're going to see a very similar overlap. But on the transient side, we're going to see heavy domestic. We're really looking-forward to it. And already getting quite a bit of interest with one heck of a waiting list on the corporate side. I think we'll even do stronger. There's a tremendous amount of demand on the corporate group side for hospitality entertaining at the highest-level and our specialty here at Wynn, so I think, it'll pair very well for Super Bowl. So we're looking-forward to two successful weekends.
Robin Farley: Thank you. I'll jump back-in the queue.
Craig Billings: Sure.
Operator: Thank you. Our next caller is David Katz with Jefferies.
David Katz: Afternoon. Thanks for taking my question. I'd love just a little more color on how we think about margins going-forward. I admit, it's one of the, you know, aspects of the model where we've spent more time and thought and trying to get those particularly in Macau. What a normalized margin could be and what the puts and takes are around that. Obviously, not asking for specific guidance number. Just some qualitative commentary. Thanks.
Craig Billings: Sure. Julie, do you want to cover again you're thinking on...
Julie Cameron-Doe: Yes. I think, David I think I run through it. And clearly, you heard the point about sequentially, we had to move-in margin was really, you know, a bunch of timing with the credit from OpEx, you know, we hold in the credit from OpEx in versus Q2. There, If you think about the way we look at it, we manage our OpEx really tightly and we, you know, we're thinking really carefully about our concession commitments and how we can program really effectively to use them, really as a marketing effort to drive that kind of brand recognition and attract customers in. You know, we've done a lot of that and that has impacted building OpEx per day-in the quarter. In the early days, I think some of those will work and some of them won't, and we're going to get a better sense of that and we'll be, you know, it's not sure about the kinds of things that we'll do. But, you know, coming back to what I said, we're expecting, you know, the margin for Wynn Palace to generally stay where it's at. And for Wynn Macau to improve with operating leverage, you know, as business volumes return. We -- the coast of coast there'll be some small movement, but we wouldn't expect it to be significant from the events calendar in Macau.
Craig Billings: But importantly both properties are structurally higher than they were in 2019. So, you know, we're doing great from a margin perspective. If we can yield and I do believe we can if we can yield Wynn Macau and Wynn Palace rather rooms. Appropriately, because as you know, it's not about occupancy, it's about who is in the room. Then we could see some incremental margin expansion there, but. I wouldn't underwrite it yet. I think Wynn Macau's Wynn Palace as margin is great as it is and I would hold at that level and Wynn Macau, it's a question of operating leverage coming from volumes.
David Katz: Right. And so, if I may just following that up, as you continue to add in, you know, more non-gaming elements. Should we think about that as somewhat of a headwind to sort of finding that comfortable margin. Or, you know, are those just really vehicles for maintaining where you're going to wind-up, you know, from gaming anyway.
Craig Billings: Yes, I would break that into two pieces. I would say that as we bring material CapEx online like an event center or a spectacle show, those businesses will have a margin profile in and off themselves, and they will be additive to our gaming business and ultimately drive gaming customer visitation, which will be accretive to margin. But it's way too early to even talk about that even at a qualitative level, given where we are in the CapEx cycle. With respect to programing, which is what we're doing now, which is essentially more OpEx driven with the facilities that we have today. If you were able to do that without having a material impact on margin, and you saw that in Q3, where we did a reasonable amount of programing at Wynn Palace, actually. And we were still able to deliver the margin that we have shown you today.
David Katz: Okay. Thank you. Good luck.
Craig Billings: Thank you.
Julie Cameron-Doe: Thanks. Our next question will be our last. Thanks, operator.
Operator: Thank you. John DeCree with CBRE Securities. You may go ahead sir.
John DeCree: Hi, everyone. Just one for me, maybe finish up with a quick capital allocation discussion. So I guess the share repurchase, a bit higher than we've seen in the quarter and also the tender for the Wynn Las Vegas notes. Julie or Craig. Curious if you could tell us how you're thinking about, you know, allocating capital in the quarter. And then as we look-ahead. We have the dividend and some CapEx that's on the horizon. So, you know, how are you kind of thinking about capital allocation for, you know, for things like we saw in the 3Q as well, but share repurchases are being opportunistic with your debt.
Craig Billings: Yes, sure. So we're about -- we're always balancing some liquidity needs, right, between capital deployment growth returning capital to shareholders, et cetera. And we're in a good position to do kind of all-of-the-above right now, you just mentioned a bunch of potential uses in your question. And as you know, we restarted our dividend earlier this year. So we're really well-capitalized. And I expect that we're going to maintain extra liquidity until we see how a few things play-out. The situation in New York, macroeconomy., the yield curve, et cetera, et cetera. I would say, our bias is to even in a rising rate environment to try to stay-in a. Our free-cash flow position comparable to where we are now. We're fortunate to have a lot of long-dated fixed debt. So we have a lot of time to figure that out. And for the yield curve to potentially move before we're in a position to materially refinance. But between now and the point at which we know the fate of the license in New York, I would expect that we're going to do when the stock is mispriced, as we believe it has been. We're going to do some share repurchases. We'll manage the debt stack, consistent with what I just talked about in terms of wanting to fade some incremental interest expense. And then of course, we have capital deployment that we'll be doing to build a luxurious beautiful property in the UAE. So that's kind of where we are.
John DeCree: Okay, that's helpful. Craig. I appreciate your thoughts. Congratulations on the quarter.
Craig Billings: Thank you very much.
Julie Cameron-Doe: Well, thank you. Thank you, everyone. So that will now conclude the Q3 earnings call for Wynn. Thank you for your interest and we look-forward to talking to you again.
Craig Billings: Thanks everybody.
Operator: Thank you for participating on today's conference call. You may now go-ahead and disconnect.